Operator: Good morning, everyone, and thank you for joining the Second Quarter 2025 Earnings Conference Call for Bragg Gaming Group. My name is Greg, and I will be your operator today. I will shortly hand the call over to Bragg Gaming Group's CEO, Matevž Mazij, who will discuss Bragg's second quarter 2025 performance; and Bragg's CFO, Robbie Bressler, who will review the company's financial results. Please be reminded that you can review Bragg's results presentation on the company's investor website at investors.bragg.group in the Events and Presentations section. Following the prepared remarks, the conference will be open to a question-and-answer period. Certain statements on this call may constitute forward-looking information or future-oriented financial information. A full explanation of these risk factors is available on the second slide of Bragg's Second Quarter 2025 earnings presentation titled Forward-Looking Statements as well as in the recently filed press release and other public disclosures. I'd now like to turn the call over to Matevž Mazij, Chief Executive Officer of Bragg. Matevž?
Matevz Mazij: Good morning, everyone. My name is Matevž Mazij, and I am the CEO of Bragg. On this call, I'll start with our second quarter highlights and operational updates. Then I'll pass the line to Robbie to discuss our financial results. After his commentary, I'll discuss more about our strategy and outlook for the rest of 2025, and then Robbie and I will answer your questions. For those investors that are not familiar with Bragg, who exactly is Bragg Gaming Group. We're a must-have partner in the iGaming world. First, user experience is at the core of our products, and we're creating and delivering cutting-edge casino games from our own studios and through a selection of third-party studios. Second, we're the silent engine behind some of the giants of iGaming, sports betting and iLottery, empowering operators to launch into and dominate markets with our proprietary player account management solution and an in-house build delivery and engagement tech stack. We arm online casino, sports betting and lottery operators with the tools to launch flawlessly, scale relentlessly and optimize for maximum success, delivering power and control to our partners. Third, we're obsessed with the player. We don't just look at data, we decode it, leveraging information, advanced analytics and cutting- edge AI to supercharge player engagement, maximize revenue potential and build smarter, more efficient iGaming operations. In short, we're building the future of user experience and our AI-first strategy is key to achieving this by embedding AI into our products and operations for unprecedented hyper-personalization, operational efficiency and maximize player lifetime value. This is Bragg Gaming Group, and we look forward to sharing our story with you. I'll start my presentation with our operational updates. In Q2, our revenue was $26.1 million, a 4.9% increase year-over-year. Excluding the Netherlands, we grew 21%. While regulatory changes in the Netherlands have affected the market, our business is becoming less dependent on it as we deliver strong growth elsewhere. Our gross profit grew by 10.8% year-over-year to EUR 13.7 million, with our gross profit margin increasing by 280 basis points to 52.7%. Our adjusted EBITDA for Q2 2025 was EUR 3.5 million, a decrease of 4.3% from the same period in 2024. While our top line growth was less than expected at 4.9% growth in Q2 year-over-year, our strategic focus is clear. With increasing gaming taxes in key markets like Brazil, the Netherlands and Romania, we are prioritizing improved margin and cash flow performance over aggressive revenue expansion. We continuously reassess our strategy to maintain our bottom-line performance. We will pursue those opportunities methodically, always ensuring our approach optimizes both margins and cash flow. Subsequent to the quarter, we advanced a planned realization of cost synergies throughout the business, which should provide the company with EUR 2 million in annualized cash savings, which rightsizes our cost base. We believe there are further opportunities to realize cost synergies in the second half of this year. Our strong emphasis and focus on our margin and cash flow performance serves to keep us agile as a business comparative to other peers. The revised guidance, which Robbie will discuss shortly, shows at the midpoint of our revised range that our adjusted EBITDA margin is within 0.5% of our previous guidance. This is consistent with our laser focus on creating a margin-accretive product mix and being focused on cash generation. In the Netherlands, we have a strong position. We're outperforming in a challenging regulatory environment where we are down by 17% versus a 25% industry decline. While our concentration in the Netherlands is challenging, the significance of the market becomes less and less as we experienced high growth in the U.S. market where our proprietary content revenue grew by 270% year-on-year. We have achieved a 44% year-over-year growth in proprietary content revenue, reaching EUR 3.9 million in 2025. A significant 20% of our 2025 proprietary content revenue came from titles we released in 2024 alone. This shows that we are effectively monetizing our games over time. Even more impressively, over 50% of our proprietary content revenue is from titles that were launched before 2024. This really highlights the long-term stickiness and value of our content and our strong ability to generate long-term value. I am pleased with the way we're making significant strides in the proprietary space. Our strategy to diversify and expand in growth markets in a margin-accretive way is working, and we are confident in our ability to keep building momentum. Our bespoke content agreements with Caesars and Hard Rock Digital clearly illustrate and will continue to show that Bragg is the preferred bespoke content partner of Tier 1 operators, which serves as a strong validation of our talent and capabilities as a business. Our Dragon Power brand continues to grow its market share in the U.S., where our Triple Gold title was one of the best launches to date and where our Super Orbs and the original Dragon Power continue to perform very well. Bragg will continue to expand the Dragon Power brand with 3 new titles in various stages of development. Indeed, our latest Dragon Power 10,000 Ways will launch in the third quarter. We're also expanding our Connect and Collect mechanic, which continues to be a star performer for us. We have also expanded our other key brands, launching Gold Party 2 in Q2 and will soon launch 2 new Fire Stamped titles. Our exclusive game partners have begun launching new portfolio of games with the first boomerang game already live. Existing partners, particularly Incredible Technologies in North America are experiencing increased success and we'll be rolling out more games later this year. Our game road map encompassing both internal and partner studios is set to significantly expand in the rest of 2025 and into 2026. Bragg is actively monitoring key market trends and analyzing its internal brands and mechanics to identify unique opportunities for market share growth. A significant area of focus is the expansion into traditional stepper market, particularly in Canada and North America. This expansion is supported by a newly customized interface in a traditional player experience. Initial testing in non-U.S. markets has yielded positive results. During the quarter, we launched our online casino games in New Jersey, Pennsylvania and Michigan with Fanatics Casino. The U.S. online casino market grew by 31% year-over-year. In this growing market, Bragg's proprietary online casino content saw a 270% GGR increase year-over-year. The U.S. online casino market is projected to grow from $10 billion in GGR in 2025 to over $75 billion in GGR at maturity. In terms of potential iGaming expansion in the U.S., we are anticipating Ohio, Illinois and New York to be key battleground states for iGaming legalization in the midterm, with Ohio, in particular, of interest given its extended legislative deadlines in 2026. Our scalable business model allows us to expand into new states as they open with minimal incremental cost and our existing established partnerships with top operators in the market open these opportunities up even further. Another trend we've seen is the increased stagnation of online lottery in states where both iGaming and iLottery are legal due to increased competition from iGaming operators. In Brazil, our other key market, we launched on the first day of the regulated market opening. This has resulted in 56% year-on- year pro forma revenue growth in the second quarter. We've also further strengthened our exclusive content portfolio with a strategic investment in the Brazilian specialist online studio, RapidPlay. According to projections, Brazil's iGaming market is set to grow from $3.9 billion in 2025 to $6.1 billion by 2030, and we project Brazil will account for up to 10% of our revenue in 2025. On the leadership front, we added 2 key hires: Scott Milford as EVP, Group Content, who comes with more than 25 years of experience driving game innovation and studio success at major gaming brands, including Aristocrat, Konami and [Naruse], and Scott brings an unmatched insight and leadership to one of the industry's fastest-growing content development companies. Our other transformational hire was Luka Pataky, our new EVP of AI and Innovation. Luka comes with a strong pedigree in AI and technology with over a decade of experience at Sportradar, a company at the forefront of sports data and content. Luka has been instrumental in revolutionizing sports content creation through AI, computer vision and deep learning, successfully bringing real-time data collection solutions to production being the driving force behind integrating acquired tech businesses, thereby turning advanced technology into significant business value through the optimization of operating costs and business efficiencies. On the back of Luka's hire, we have launched a new AI-first initiative to make the company become an AI-first business by 2027. I will now turn the line over to Robbie to discuss our financial results.
Robert Jeffrey Bressler: Thank you, Matt. Good morning, everyone. I will now cover our financial results for the second quarter of 2025. Q2 revenue was EUR 26.1 million, up 4.9% year-over-year, and excluding the Netherlands, we grew 21%. While regulatory changes in the Netherlands, higher taxes and new deposit rules have cut the market by about 1/4, our business is becoming less dependent on that market as we deliver strong margin-accretive growth elsewhere as illustrated in North America leading the way with 64% year-over- year growth in Q2, which is mostly from proprietary content, our best-performing marching product. Even in the Netherlands, we're outperforming the market. we are down 17% versus 25%, which the industry is down. Our strategy to diversify and expand in growth markets in a margin-accretive way is working, and we're confident in our ability to keep building momentum. Our gross profits grew by 10.8% on a year-over-year basis compared to Q2 2024, rising to EUR 13.7 million, with Bragg's gross profit margin increasing by 280 basis points to 52.7%. Company adjusted EBITDA amounted to EUR 3.5 million in Q2 2025, dropping by 4.3% from the same period in 2024, and corresponding to an adjusted EBITDA margin of 13.3%. This decline is largely a result of an increase in compensation spending in Q2 2025 compared to Q2 2024. Through the realization of synergies, as Matt discussed, our compensation spending is in the right size to deliver operational leverage in future periods. Looking at our product mix for Q2 2025, our PAM and turnkey segments generated $3.8 million, which was 14.6% of our total revenue. This is down from $4.9 million or 19.9% of revenue in the same period last year due to the Netherlands market contracting. Aggregated content made up 49.4% of our revenue this quarter, a slight decrease from 49.6% last year, but the real story here is the ascent of our proprietary content, which is climbing fast, now contributing 14.8% of our total revenue in Q2 2025, up significantly from 10.8% a year ago. The growth is especially strong, thanks to the ongoing momentum we're seeing in the U.S. market. Turning to the balance sheet. As of June 30, 2025, we held EUR 4.2 million in cash and cash equivalents. During the quarter, we repaid $5 million of the $7 million secured promissory note outstanding. We are in the advanced stages of securing a new working capital revolving debt facility from a Tier 1 Canadian bank and believe we will close this early in Q3. While this process is taking much longer than expected, we are optimistic that we will have it closed soon. Turning to our outlook. Earlier this year, we expected double-digit revenue and adjusted EBITDA growth for 2025, driven by expansion in regulated markets, the growth of our proprietary and exclusive content and continued momentum in the U.S. and LatAm. While our strategy hasn't changed, we've adjusted our full-year guidance to reflect higher gaming taxes, softer market conditions in the Netherlands and other regions, headwinds in Brazil and other broad market pressures. We now expect revenue of EUR 106 million to EUR 108.5 million and adjusted EBITDA of EUR 16.5 million to EUR 18.5 million. As Matt mentioned, our revised guidance at the midpoint, adjusted EBITDA margin is within 0.5% of our previous guidance. This is consistent with our laser focus on creating a margin-accretive product mix and being focused on cash generation. These changes reflect a conscious shift towards higher quality earnings. We're prioritizing margin and cash generation over lower margin revenue. The efficiencies we've implemented post quarter are already making us a leaner business. We expect adjusted EBITDA margins to be a few points higher in the second half of 2025 versus the first half of 2025, and we remain confident in our ability to deliver sustainable, profitable growth for the long term. Our revised guidance is not a reflection of our products underperforming, quite the opposite. Gross gaming revenue, which reflects the level of play on our content and through our technology stack outside the Netherlands is up 25% year-over-year. Finally, we firmly believe that the best driver to unlock value for Bragg is to improve our margins and cash flow, and we are in a strong position to achieve this. We still believe that we will deliver operational leverage and believe that there are still synergies we can realize to optimize our cost structure. I will now hand the call back to Matt.
Matevz Mazij: Thank you, Robbie. As a business, we're resilient, and we have an impressive history of changing to suit evolving market conditions, allowing us to pivot easily into new growth opportunities. As we successfully shift our regional and product strategy away from predominantly content aggregation and European markets, we're seeing particularly great results from the U.S. and our content. Our scalable model allows us to expand into new regulated states with minimal incremental cost. Our strategic focus is on reducing risk through revenue diversification by shifting our reliance away from the Netherlands market. Our revenue from the Netherlands is projected to decrease from 49% of total revenue in 2022 to a projected 32% in 2025. The strategic shift to exclusive and proprietary content continues to set the stage for margin growth. Our exclusive content makes up 21% of revenue and our highest margin proprietary content accounts for 15% of revenue. This shift allows for full royalties capture and a recurring revenue stream. In the rapidly evolving iGaming and sports betting landscape, AI is transforming from a competitive advantage to an absolute necessity for sustainable growth and profitability. Our 2027 vision is to become an AI-first Bragg, and we strongly believe AI will become an intrinsic part of the iGaming experience. This means AI will be a core capability embedded in how we build products, run operations and engage the market. Bragg's AI strategy is built on 4 pillars: building and scaling AI capabilities, delivering AI-powered products, operationalizing AI and leading with an AI-first culture. AI will deliver tangible business value through significant cost reduction via automated data collection, enhanced operational efficiency by streamlining workflows and increased profitability as evidenced by products which substantially improve operator margins. The core of this transformation lies in delivering unprecedented hyper-personalization and immersive player experiences, driving deeper engagement and loyalty while simultaneously strengthening responsible gaming initiatives through advanced behavioral analytics. Looking forward, we foresee continued advancements in predictive analytics for our strategic foresight and the widespread adoption of generative AI for scalable content creation. We will embrace an AI-first strategy, embedding AI into the core of our product development and operational decision-making, supported by a culture of innovation and cross-functional collaboration poised to capture the next wave of growth and deliver superior returns in this dynamic sector. At this point, I'd like to thank you for listening, and I want to thank the entire Bragg team for their hard work and dedication. I'll hand the call back to the operator, and Robbie and I will be happy to answer your questions.
Operator: [Operator Instructions]. It looks like our first question today comes from the line of Jordan Bender with Citizens.
Jordan Maxwell Bender: A lot of good partnership wins in the U.S. year-to-date and a lot of positive commentary on the call around that part of the business. As I look at the results in the second quarter, revenue down about 50%. Can you maybe just help us bridge some of the revenue contribution from Hard Rock and Caesars that you saw in the first quarter and then just kind of performance as we headed into the second quarter? Then maybe you originally gave a guidance or you gave the outlook of that could potentially be 15% of revenue for the full-year. Maybe just where that stands today?
Matevz Mazij: Sure, Jordan. Thanks for the question. Yes, I do think that there is a path for us to get to that 15% marker, as we previously mentioned, of our 2025 revised revenue targets now. We do think the Hard Rock deal will continually add revenue through the second half of this year. That's factored into our revised guidance, as well as where we think the -- how Caesars will perform in the second half of the year. We are very optimistic of what we've seen in the U.S. The U.S. iCasino market is just flourishing immensely. We're still seeing really strong growth in the states where both iCasino and sports are regulated. iCasinos continually outperformed. We do believe that the U.S. -- our U.S. focus is paying off and will continually pay off for us as we continue to gain market share.
Jordan Maxwell Bender: Then just maybe 2 follow-ups here. One, in the press release, you talked about highly accretive growth opportunities ahead for the business. You kind of touched on a few during the call, but maybe can you just consolidate how you're thinking about what these future opportunities might look like specifically? Then the second follow-up is, was there any FX impact to guidance for the full-year?
Matevz Mazij: Yes. In terms of FX, yes, there's a slight impact. The euro has weakened against the U.S. dollar. We're seeing a bit of an impact there, but I'd say not a big pervasive impact. Sorry, remind me of the first part of your question?
Jordan Maxwell Bender: Just around, in the press release, you said the highly accretive growth opportunities. Can you just maybe elaborate or expand on how you think about those opportunities?
Matevz Mazij: Yes. Really, where we see highly accretive opportunities for our business is on the proprietary content side. We really are upping our game. We brought in Scott Milford from Aristocrat. We're really increasing our bench strength and what we can do and what we can produce on the proprietary content side. I think we've done -- actually, I'm confident we've done a great job to penetrate the U.S. market. I think we have a lot of growth opportunity to do that in other markets where we have dominant positions. The Netherlands specifically, although it is a contracting market, we are outperforming the market in the sense that -- the total market is down 25%, but we're only down 18%. We still see the Netherlands as a great opportunity for us to keep pushing good proprietary content and further move our profitability. That's where we're focused, looking at the assets that we have, looking at the positions we have in markets and how best do we leverage that to promote what we see as our most profitable product, proprietary content.
Operator: [Operator Instructions]. It looks like there are no further questions. I would now like to turn the call back over to Robbie Bressler for closing remarks. Robbie?
Robert Jeffrey Bressler: As mentioned, Bragg has an impressive history and strong track record of adapting to evolving market conditions and successfully pivoting into new growth opportunities. Although, top line growth has been lower than expected, I'm very pleased to see our business grow at 21% outside of the Netherlands and our continued focus on driving higher margins and more cash. We are confident that we can scale this business in a manner that adds value over the long term. Finally, I'd like to take this opportunity to thank our investors and shareholders for their continued support and confidence in our story. Have a great day.